Hisato Kozawa: Hello, everyone. This is Kozawa, CFO. So allow me to give you an overview of the First Half of 2024 Financial Results using the presentation materials. These materials have been released and been passed. I omitted due to explanation of focus on the key takeaways while providing supplementary information. So first, I'd like to provide a new review of financial results. Please refer to Slide 4. The page shows the result in several key highlight indicators. Highlight of the results are shown on Slide 5. Similarly to the first quarter, overall performance in the first half was in line with our plan. Order intake, revenue, and profit were all higher year on year. Order intake increased significantly from FY 2022 to FY’23, even more so in the current fiscal year. Other orders for defense, which led the increase in order in orders in FY 2023 decreased. Orders for Castorabine combined cycle, aero engines, and the metal machinery increased significantly. Our previous four year order intake forecast was JPY5.8 trillion, but we have now raised our forecast to JPY6 trillion as year to date progress has exceeded our expectations. Both business profit and net income increased year on year. Particularly of note, business profit increased 87% as I will explain in Slide 9. Order intake, revenue, and profit items all achieved record highs for a first half. Slide 6 and beyond provide a little more detail on our financial results. Slide 7 includes information already provided, so I will forego an explanation. Slide 8 shows the balance sheet and cash levels. Total assets increased by JPY220.8 billion from the end of FY 2023 to JPY6,477 billion. Because a yen appreciated at the end of September, the impact of currency translation effects related to foreign currency denominated assets served to decrease asset by JPY80 billion. Excluding this impact, the foreign currency denominated assets increased by around JPY300 billion. The figures I'm about to explain excluding foreign exchange effects. Cash and cash equivalents increased by a little less than JPY100 billion, and inventories increased by around JPY150 billion. This increase in inventories is a typical trend for a company, and we assess this to be within the range of normal fluctuations taking into account that we are in a revenue growth phase. Regarding cash flows, free cash flow improved by JPY95 billion year-on-year, mainly because investing in cash flow increased significantly due to expenses for the acquisition of an office building in Tokyo, while operating cash flow improved significantly due to an increase in profits and a year on year smaller increase in working capital. Slide 9 shows factors which caused year-on-year changes in business profit. The leftmost bar shows first half, FY 2023 business profit, which was JPY100.9 billion. Although there were negative factors in first half FY 2024, such as the impact of wage increases, there were a variety of other positive factors. Business profit in first half FY 2024 was JPY188.4 billion mainly due to revenue growth in main businesses, the effect of improved product mix and the profit margins, and the fact that the yen tended to depreciate in terms of the average rate during the period in question. Now I'd like to add a little color about foreign exchange effects. As you can see on this graph, in terms of business profit, the average exchange rate in first half for FY 2024 had the yen at a weaker level year on year, which contributed to an increase in profits. That said, gains and losses on exchanges and foreign exchange rates, which are realized within finance income cost below the business profit line item, includes monetary differences between the time of recording and the time of deposit withdrawal as well as the translation effect differences at the end of the period. These changes in foreign exchange ratio served to increase net income by approximately JPY20 billion in first half FY 2023, but decreased net income by more than JPY30 billion in first half FY 2024. This reason -- this is the reason why the financial income and cost figures have significantly changed year on year. The Slide 10 shows a summary of order intake, revenue, and the business profit by segment. I will explain a little by segment below. Please note that due to the establishment of GX Solutions in April of this year, we have made some adjustments to our reporting segments. The first half FY 2023 figures shown here have been retroactively adjusted to reflect these changes. Slide 11 shows the situation in the energy systems segment. Order intake, revenue and profit all increased year on year, marking a good start in terms of progress towards the full year forecast. Of note, GTCC had continued to show strong order intake performance since the previous fiscal year. In Steam Power, although revenue decreased in line with expectations due to the cessation of the new installation in coal-fired thermal power, profit increased due to strong service work. In aero engines, order intake and the revenue from parts sales and maintenance increased due to recovery in the market. Based on the steady progress year-to-date, we have increased full year order intake guidance by JPY150 billion to JPY2 trillion and the business profit guidance by JPY10 billion to JPY180 billion. Slide 12 shows the situation in the plants and infrastructure systems segment. In this segment, order intake revenue and profit increased year on year, making a favorable start to the fiscal year. Large orders in metals machinery, waste energy systems, and the mechanical systems contributed to year over year growth in order intake. Based on the progress made year to date, we have increased our full year business profit guidance by JPY10 billion to JPY40 billion. Slide 13 shows the situation in the Logistics, thermal and the drive systems segment. Order intake and revenue for segment as a whole were basically flat year on year, but when accounting for taking the impact of the depreciation of the yen, net revenue actually decreased. Total tighter revenue decreased due to production disruptions caused by a supplier. Logistics systems revenue decreased mainly due to a decrease in international unit delivery. Based on the progress made year-to-date, we have revised the full year business profit guidance by JPY20 billion to JPY60 billion. Slide 14 shows the situation in aircraft, defense and the space segment. Order intake decreased year-on-year due to the booking of several large defense product in first half FY 2023. However, order intake was still high compared to its previous levels, and we're making steady progress towards one full year forecast. As for revenue, we are steadily working to execute on a large order backlog. In addition to the effect of increased revenue, profit increased significantly due to depreciation of the yen. Slide 15 through 18 shows the FY 2024 earnings forecast. This time, we have only revised order intake and business profit. I have already explained the details of these revisions. So I won’t go in explanation. That concludes my explanation. Thank you very much for your attention. And now please allow me to move on to President Izumisawa ' comment.
Seiji Izumisawa: So this is Izumisawa speaking. Allow me to speak about our earnings forecast for the current fiscal year and the progress under our 2024 medium term and medium term business plan. First, I will outline their earnings forecast to the current fiscal year. Although operating environment will remain uncertain during to the second half of this year due to geopolitical risk, commodity price inflation and foreign exchange fluctuations. As we have booked solid order intake so far, we believe that it is possible to achieve our FY 2024 plan through the steady execution of our backlog. In terms of order intake, in addition to gas turbines, nuclear power and defense, which are expected to see solid demand, metals machinery and aero engines are performing well. And while some businesses are facing difficult market conditions, we have decided to increase our full year forecast. Next, I will speak about the operating environment in each segment and the progress of the key 2024 MTBP initiatives. ETCC currently has a global demand of 40 gigawatt per year, which is expected to grow to 50 gigawatt per year by 2026. And the market is expected to remain strong for the sometime to come. This is due to demand for decarbonized fuel conversions including the transition from oil fired systems in the Middle East and demand for stable power supplies for data centers in North America. As for the MHI Group inquires for DTC, systems are increasing, especially in North America and the Middle East. In order to meet this strong demand, we are working to strengthen our business execution capabilities and secure a competitive advantage. Specifically, we will increase personnel by 10% by FY 2026, expand our blade production line capacity, and develop decarbonized gas turbines including those using hydrogen and ammonia to maintain our top market share. Regarding nuclear power, in addition to supporting the stable operation of restarted PWRs, we will also support the restarted PWR plants, plant replacements and the development of advanced reactors in response to the Japanese government's policy to promote the use of nuclear energy. In order to achieve this, we are working to strengthen our business execution capabilities by increasing personnel by 10% by FY 2026 and increasing our investment in production facilities and r and d by 30%. Narrow engines, we are responding to increased demand for MRO around the world by taking advantage of enhanced in house production and maintenance capabilities that we started during the 2021 MTBP. In plant infrastructure and systems, in metals machinery, investment in green steel is accelerating to realize carbon neutrality for the time being, and there are constraints and challenges in the supply of green energy. So we will respond to the growing market with electric arc furnaces and shaft furnace direct reduction systems that utilize reformed gas. We are also working to provide new services utilizing AI and digital technologies. Specifically, we are developing remote services and part sales using digital transformation techniques in a paper converting machinery business, which has an extensive large track record of deliveries in North America. In engineering, we will provide new services to meet customer needs such as remote vehicle monitoring enabled by Sigma Sync supervision and the integrated management of maintenance data. So logistics and thermal and drive systems, engines is working to meet robust demand for data centers mainly in Southeast Asia and China, two areas of strength for the MHI Group. The full year forecast for the LT&D segment as a whole is looking tougher than originally anticipated due to the uncertainty in the North American market and logistics systems. That said, logistics systems sees a strong need for labor saving and automation systems due to labor shortages and rising wages. We are developing and implementing an integrated control system that supports operator machine coordination. We are also working with various partners to develop automation products. Demand in h HVAC is strong due to continuing urbanization of rural areas, efforts to slow global warming and stricter environmental regulations. We are working to enhance our lineup of products using natural refrigerants and our environmentally conscious products, expand products capacity in international plant, and extend our sales networks. The defense business is rapidly expanding in response to Japan's national security initiatives and is expected to increase revenue to JPY1 trillion during the 2024 MTBP. For this reason, we are greatly expanding personnel, and we increased the number of employees by 40% by FY 2026. In addition, we are increasing investment in production facilities by 30% to strengthen our business execution capabilities in space. The launch of Unit 4 of the H3 launch vehicle on November 4 was success. Thanks to the support of all of our stakeholders. Going forward, we will continue to build on these successes with H3 launch vehicle and expand our launch services business. We will also participate in future projects and contribute to the development of Japan's space industry. In commercial aviation, performance in first half FY 2024 exceeded initial plan due to the impact of foreign exchange rates and cost reductions. However, we will need to continue monitoring the impact of the Boeing strike. Finally, allow me to speak about our future growth areas. As for hydrogen, ammonia, NCCUS, the realization of projects has been slower than expected due to uncertainty regarding return on the investment needed to attain widespread implementation. However, efforts towards decarbonization in the midterm are essential. With an eye toward the establishment of new markets, we are proceeding with R&D and the demonstration of new systems, as well as participating in demonstration projects in various regions and working to build value chains such as we are doing under our alliance with ExxonMobil. The data center market is rapidly growing, and we are already making strong demand mainly for turbo chillers and standby generators. As I mentioned earlier, the number of inquiries for DTCC is increasing due to growing power demand. Going forward, in order to meet customers' expectations for one stop services, we will build an integrated project execution organization, which will encompass all necessary step functions, including project managers and service personnel. In terms of products, we are seeing increasing opportunities to provide high efficiency cooling systems and decarbonize power sources, which are currently under development. We are proceeding with demonstrations and working to bring this new markets to market as soon products to market as soon as possible. We are also making steady progress in strengthening and enhancing our human capital and technologies to support these efforts with an eye towards the future beyond the current MTBB period. That's all for me. Thank you very much for your attention.
End of Q&A: